Operator: Good morning, all, and thank you for joining us on today's European Residential REIT Third Quarter 2025 Results Conference Call. My name is Drew, and I'll be the operator on the call today. [Operator Instructions] With that, it's my pleasure to hand over to Nicole Dolan, Investor Relations, to begin. Please go ahead when you're ready.
Nicole Dolan: Thank you, operator, and good morning, everyone. Before we begin, let me remind everyone that during our conference call this morning, we may include forward-looking statements about expected future events and the financial and operating results of ERES, which are subject to certain risks and uncertainties. We direct your attention to Slide 2 and our other regulatory filings for important information about these statements. I will now turn the call over to Mark Kenney, Chief Executive Officer.
Mark Kenney: Thanks, Nicole, and good morning, everyone. Joining me this morning is Jenny Chau, our Chief Financial Officer. Let's get started on Slide 4 with a high-level update. During Q3, ERES continued to execute on its strategic disposition program, focusing on maximizing unitholder value. We successfully completed several key transactions, including the sale of our commercial properties in Belgium and Germany, the closing of previously announced disposition of a portfolio containing 1,446 residential suites in the Netherlands and the sale of an additional 110-suite property in Rotterdam. Collectively, these transactions generated EUR 397 million in gross consideration, bringing our 2025 disposition total to EUR 489 million, with part of that capital used to repay EUR 238 million in debt. With remaining proceeds, ERES declared and paid a special cash distribution of EUR 0.90 per unit, in line with our commitment to return capital to unitholders. Operationally, rent growth remained robust with same-property occupied AMR increasing by 4.7% to EUR 1,349 at current period end. However, you will see on Slide 5, our residential occupancy was down to 90.8% as of September 30, 2025, on the total and same-property portfolio. This reflects elevated vacancies associated with our disposition strategy as we are intentionally keeping additional suites offline each month in order to maximize sale value. With that introduction, I will now turn the call over to Jenny to highlight our financial results.
Jenny Chou: Thanks, Mark. Slide 7 provides some key performance metrics for the third quarter of 2025. Due to lost rent on vacant units combined with an increase in repair and maintenance costs, the REIT's NOI margin was down to 67.8% for the current quarter on a same-property basis from 76.2% realized for the 3 months ended September 30, 2024. Our diluted FFO per unit was EUR 0.13 for Q3, which is down from EUR 0.04 in the comparative period, primarily due to the significant amount of property sales that have been completed since. On Slide 8, we've highlighted our resilient financial position and liquidity. As we've used part of our disposition proceeds to repay debt, our ratio of adjusted debt to market value has decreased to 34% as of September 30, 2025, down from 53% as at comparative period end. We're also actively managing our access to liquidity and ensuring ongoing compliance with all covenants. Turning to Slide 9. You'll see that we have no mortgages maturing over the remainder of 2025 and '26, which provides us with financial flexibility to continue executing on value-maximizing transactions. As we advance on our disposition program, prudent financial stewardship will remain central in our decision-making. With that, I will hand the call back to Mark.
Mark Kenney: Thanks, Jenny. By period end, ERES's portfolio consisted of 1,033 residential suites and ancillary retail space in the Netherlands as listed out on Slide 11. We're continuing to work with our financial and real estate advisers on the sale process for this remaining portfolio. Buyer interest is still active, and the REIT is exploring several potential alternatives, including individual asset transactions that present compelling value opportunities in the near term and/or a larger portfolio disposition. These efforts are being advanced alongside certain structural and outstanding tax matters, including the previously disclosed reassessments by the Dutch tax authority. Ultimately, our primary focus is on realizing the full value of the REIT's remaining portfolio and maximizing distribution of capital proceeds to unitholders. While the wind-down process involves complexity and uncertainty, we remain committed to acting in the best interest of all unitholders and providing timely updates as developments unfold. With that, we would now be pleased to take any questions that you may have.
Operator: [Operator Instructions] Our first question today comes from Sairam Srinivas from Cormark Securities.
Sairam Srinivas: Mark, just going back to the time line of transactions, are you basically comfortable with the idea that this will probably wrap up in Q4? Or are we looking for something beyond that?
Mark Kenney: No, we've not provided clear guidance on a final wrap-up of the REIT. There are issues here as we discussed with tax and other issues to work out, but we will be providing definitive feedback when we have more certainty.
Operator: With that, we have no further questions in the queue at this time. I'll now hand back over for some closing comments to Mark Kenney.
Mark Kenney: Thank you, operator, and thank you, everyone, for joining us this morning. If you have any further questions, please do not hesitate to contact us at any time. Thank you again. Have a great day.
Operator: Thank you all. That concludes today's call, and you may now disconnect your lines.